Operator: Good morning, and welcome to the OFS Capital Corporation's Second Quarter Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Steve Altebrando, Vice President of Investor Relations. Please go ahead, sir.
Steve Altebrando: Good morning, everyone, and thank you for joining us. With me today is Bilal Rashid, Chairman and Chief Executive Officer of OFS Capital and Jeff Cerny, the company's Chief Financial Officer and Treasurer. Please note that we issued a press release this morning announcing our second quarter results. This press release was subsequently filed on Form 8-K with the SEC. Both documents can be obtained under the Investor Relations section of our website at ofscapital.com. Before we begin, please note that the statements made on this call and webcast may constitute forward-looking statements as defined under applicable securities laws. Such statements reflect various assumptions, expectations and opinions by OFS Capital management's concerning anticipated results, are not guarantees of future performance and are subject to known and unknown risks, uncertainties and other factors that could cause actual results to differ materially from such statements. The uncertainties and other factors are in some way beyond management's control, including the risk factors described from time to time in our filings with the SEC. Although we believe these assumptions are reasonable, any of those assumptions could prove inaccurate and, as a result, the forward-looking statements based on those assumptions also could be incorrect. You should not place undue reliance on these forward-looking statements. OFS Capital undertakes no duty to update any forward-looking statements made herein, and all forward-looking statements speak only as of the date of this call. With that, I'll turn the call over to Chairman and Chief Executive Officer, Bilal Rashid.
Bilal Rashid: Thank you, Steve. Good morning, and welcome. The second quarter was a strong period for us. We generated net investment income per share of $0.34, which is in line with our distribution. Since our IPO, we have declared 23 straight quarterly distributions of $0.34 per share. Our ability to maintain our distribution over this time period puts us in select company within the BDC sector. As we noted in our prior calls, our goal is to grow our earnings while maintaining the quality of our portfolio. We are happy with the overall quality of the portfolio, as evidenced by the increase in our NAV this quarter, which grew from $13.67 per share to $13.70 per share. We mentioned on our last call that we expected an increase in our net investment income starting this quarter as we deployed the cash in our SBIC. The increase in net investment income in the second quarter is a result of our efforts to prudently reinvest this cash. We deployed $47 million in the second quarter. Year-to-date, we have deployed more than $160 million in capital. We have been able to maintain this healthy pace of deployment while remaining very selective. Over the last 12 months, we saw more than 700 deals and executed on only a small fraction of those deals. The interest of the shareholders are aligned with those of our adviser, which is the single largest shareholder of the BDC. One significant transaction for the quarter was our investment in Performance Team, a Los Angeles-based, third-party logistics and distribution provider. We led the $38 million non-sponsored transaction to support Performance Team's recapitalization. The BDC funded approximately $20.3 million at closing, and we also brought in a co-investor to participate in the deal. Performance Team, which has been in business for more than 30 years, has a diverse base of over 5,000 customers and significant amount of contracted business. We sourced this transaction directly from the owners of the business and did not involve any intermediaries. We work closely with the company to develop the financing structure that would meet the company's current and future needs. We under ruled this transaction by using our internal resources for business due diligence and managing third-party resources for accounting due diligence, background checks as well as legal, insurance and tax due diligence. Essentially, we did the work that a banker or a private equity sponsor would have done. As part of the transaction, we received both observation rights and have monthly lender calls with the company, which allows us to better monitor our investment. We have generated an 8% ROE since our initial public offering in 2012 and a 9% ROE since the consolidation of our SBIC in 2013. We believe this compares very favorably to the industry. In the aggregate, we have declared over $8 per share in distributions since going public in the fourth quarter of 2012. We have also experienced a very low loss experience on our portfolio, which we believe is a testament to our underwriting and portfolio management. To date, we have avoided highly cyclical and commodity-based industries. In addition, approximately 80% of our loan portfolio is senior secured at fair value. We perform primarily due diligence on the deal's reagent that can take several weeks or months to complete. We often receive board seats or board observation rights for the deals that we originate, which gives us a seat at the table to more proactively manage our investments. In essence, we think that we bring private equity discipline to private debt investing. Since the beginning of 2011, we have invested $968 million from the BDC, with accumulative net realized loss of principle of only 0.4% while generating attractive yields on our portfolio. Since our IPO, our total return, as measured by the change in NAV per share plus cumulative distributions, is well above the industry average. Looking forward, we are confident in the earnings power and the quality of our portfolio. We believe that we have a proven investment platform that enables us to produce strong, risk-adjusted returns even as spreads have been tightening. We believe that our balance sheet is well-positioned for a rising interest rate environment. 77% of the fair value of our loans are floating rate with a weighted average yield on our performing debt portfolio of 12.26%. 96% of our outstanding debt is fixed at a weighted average all-in cost of just 4.37%. This includes our fixed-rate SBIC debt of 150 million and a fixed rate seven year unsecured bond debt of 50 million. Nearly 86% of our fixed-rate debt matures after 2023. With the mix of assets in our portfolio today, which consists primarily of senior secured loans, and the long-term fixed-rate nature of our liabilities, we are comfortable with the debt-to-equity ratio of approximately 1.3 times to 1.4 times, including our SBIC debt. This is well below our regulatory leverage requirements as the SBIC debt does not count towards the leverage test. As such, there is room to grow our balance sheet and increase our earnings from current levels. Over time, we will be comfortable increasing our leverage further to invest in lower-yielding loans. As you know, our board approved the increase in leverage of our BDC, which will go into effect in May of next year. The adviser to the BDC manages more than 2 billion of corporate credit assets, a majority of which consist of lower-yielding, first-lien loans. We believe that adding these assets will reduce the risk in our portfolio. Additionally, we anticipate that it will make our pace of investment activity more consistent as we will be able to diversify the sources of our loan origination. Our advisor to the BDC is part of a group of affiliated firms that own, operate and manage more than 30 billion in credit and real assets. We believe this gives us access to attractive financing. Over the past several quarters, spreads have been tightening in the broader credit markets. Despite this, we are still finding attractive opportunities to deploy capital, but we remain selective as we get deeper into this economic cycle. We are continuing to focus on the senior secured part of the capital structure and to avoid highly cyclical industries. Our investment platform has been in existence since 1994 and has navigated multiple credit cycles. While the economy appears strong today, we have continued to maintain our discipline. At this point, I'll turn the call over to Jeff Cerny, our Chief Financial Officer.
Jeff Cerny: Thanks, and good morning, everyone. As Bilal mentioned, we had a strong second quarter, highlighted by a net investment income covering our distribution and then increasing our net asset value per share. Starting with the income statement. For the second quarter, we derived approximately $10.3 million in total investment income during the quarter, a $1.3 million increase over the first quarter. Net investment income was $4.6 million or $0.34 per share, an increase of $800,000 over the first quarter. This $0.34 per share compares to $0.29 per share in the first quarter. The increase was primarily driven by an increase in investment assets, including a full quarter of earnings from the strong deployment in the first quarter and continued deployment in the second quarter along with LIBOR increases. Total expenses of $5.7 million increased compared to $5.2 million in the prior quarter. The increase was driven by higher management fees due to higher invested balances, along with increased incentive fees based on stronger net investment income for the quarter. Turning to our balance sheet. Our net asset value at the end of the quarter was $13.70 per share compared to $13.67 per share at the end of the prior quarter. The increase was primarily due to unrealized gains on certain investments. At the end of the quarter, we had approximately $23 million of cash, of which $21 million was in our SBIC. We also had another $42 million in availability on our line of credit. I would also like to note that in May, our board authorized a $10 million stock repurchase program. We have a 10b5 buying program in place, and we also intend to utilize the program opportunistically. With the asset and liability profile at quarter's end, for each 50 basis points of LIBOR increase, we realized an organic per-share increase of approximately $0.025 per quarter after the impact of incentive fees or a 7% increase in quarterly net investment income. We believe that we continue to be well-positioned in a rising rate environment. 77% of our loan portfolio at fair value had floating rate coupons at quarter's end, while 96% of our outstanding debt was long-term fixed rate. Our overall debt has a weighted average cost of 4.37%. 86% of our debt matures after 2023. Turning to our portfolio. We deployed $47 million in the second quarter across 6 investments. This consisted of $2.8 million in increases to existing portfolio of companies, and we also invested $44.2 million in 5 new names. The new names consisted of both sponsored and non-sponsored investments, mostly floating rate with a weighted average coupon of 10.5%, and the vast majority were senior secured. The overall weighted average yield to cost on our performing debt investments was 12.26%. As I mentioned earlier, this compares to our weighted average cost on our borrowings of just 4.37%. Our increased capital base continues to provide us additional flexibility and capacity to make larger investments. For example, as Bilal described, we led a $38 million transaction to Performance Team, a non-sponsored lower middle-market company. The BDC funded approximately $20 million at closing. We continue to evaluate new deals, and our pipeline remains strong. At the end of the quarter, we had investments in 42 companies, totaling $363 million on a fair value basis. As a percentage of cost, our investments were approximately 71% senior secured loans, 21% subordinated debt and 8% equity, 3/4 of which was in preferred securities. Our portfolio remains diversified with an average investment in each portfolio company of $8.6 million or 2.4% of the portfolio's total fair value. At fair value, we currently have 0.6% of the portfolio on nonaccrual compared to 0% last quarter. With that, I will turn the call back over to Bilal.
Bilal Rashid: Thank you, Jeff. We are happy with the significant increase in earnings this quarter and the overall quality of our portfolio, as highlighted by the increase in NAV per share. Going forward, we are confident in the earnings power of the BDC, considering the debt capital availability we have to grow our assets and our earnings. As you know, our SBIC debt does not count towards our leverage test. This fixed-rate, long-term debt with a weighted average coupon of 3.18% still represents a vast majority of our outstanding debt. Our goal is to grow our earnings while maintaining the quality of our portfolio, as we have done since our IPO. Our balance sheet is very well-positioned for a rising interest rate environment. 77% of our loans at fair value were floating rate, while 96% of our debt was fixed rate at the end of the second quarter. We are proud of the ROE we have generated for our shareholders since our IPO, which is a testament to our origination platform and our underwriting and portfolio management process. We will continue to focus on capital preservation, as highlighted by our low loss experience. Our investment platform has been in existence since 1994 and has gone through multiple credit cycles. We believe that it will help us navigate changing market conditions in the future. With that, operator, please open up the call for questions.
Operator: [Operator Instructions] Our first question will come from Christopher Testa of National Securities Corp.
Christopher Testa: Bilal, I was just curious, so you had discussed the context of higher leverage and possibly using some more lower-yielding loans. If you were above 1:1 debt-to-equity tomorrow, how many more opportunities kind of in your pipeline do you think would fit the BDC than what's currently being funded at the current leverage levels?
Bilal Rashid: Yes. So I think, as we mentioned, the -- our target for the leverage with the current portfolio is 1.3 times to 1.4 times, and so that would be another $50 million to $60 million range.
Christopher Testa: No, what I was getting at is, like, so if right now, let's say, LIBOR plus 8% loans work on the balance sheet, so how much, if the increased balance sheet leverage is going to allow you to make, let's say, an L plus 5 or L plus 6 loan on the balance sheet, like, how much of those are you seeing? Like, how much would we expect your originations to basically increase if you could flip a switch tomorrow? That's kind of what I'm getting at. Like, how much -- how many of these lower-yielding deals are you already kind of seeing in your pipeline?
Bilal Rashid: We're actually seeing a significant number. As we mentioned on the -- in the prepared remarks, we have a platform that is worth $2 billion of AUM. And the majority of those loans are actually first lien senior secured loans at the yield that you're talking about. So we are already seeing those types of transactions. And so I think it will be -- they'll be fairly good for us to flip the switch there.
Christopher Testa: And should we expect -- like what, I guess, target leverage should we expect more on those lower-yielding loans to come online? Should that be when your overall debt to equity gets past 1.8? I mean, does it start earlier at 1.6? I mean, how should we kind of think about it?
Bilal Rashid: Yes. I think that once we clear the 1.4 kind of range, then I think then any additional assets that we want to put on there will be with those lower-yielding assets. I think we won't be comfortable going above that leverage target with the same asset mix. I think once we cross that, then it will be additional -- the additional loans will be those lower-yielding loans.
Christopher Testa: And is the -- in the current credit facility, is that -- does that have a covenant for 200% asset coverage?
Jeff Cerny: It does correctly, and -- but we don't think we're going to have any issue resolving that and amending that.
Christopher Testa: So Jeff, the plan would to be kind of just amend that to allow you guys to go to 150% and possibly maybe, I would guess, upsize it concomitantly?
Jeff Cerny: That's right, Chris.
Bilal Rashid: And also, I think in addition to that, as we mentioned, Chris, that we're part of a group of investment platform that has over $30 billion of AUM. So we have very strong relationships across the board with the commercial banks across the U.S. So getting financing is not going to benefit for us.
Christopher Testa: I wouldn't expect it to be. I was just curious, is there a potential for you guys to maybe tap the unsecured debt market again as well? Or would you guys really want to keep it more mass fund with floating rate revolvers?
Bilal Rashid: Yes, we're certainly open to that. I think, as we mentioned, I mean, having long-term fixed-rate unsecured debt, I mean, has some attraction to it, so we're certainly open to that if that makes sense.
Christopher Testa: Yes, no, absolutely. And just curious, obviously, we've seen across the whole market, there's been spread compression and terms have been weak. Have you experienced any, I guess, increased inclination of some maybe larger funds that you haven't seen before kind of stepping down into the lower middle market? Has there been any one or any confluence of people that have been maybe driving terms weaker, driving pricing down and kind of you're part of the same box?
Bilal Rashid: I think we're beginning to see some of those types of funds, but more on the sponsored side. And so I think we're not seeing those guys coming into the non-sponsored space. So we are picking our spots in the sponsored space in companies that we like, but we don't have competition from some of these larger guys. And then, obviously, focusing on the non-sponsored side of the market. So as we mentioned, one of the deals that we did, that was a non-sponsored transaction. It was not a bank deal. There was no option. It was directly originated with the owners of the company. And so because of that, we were able to get some attractive yield and attractive leverage profile. So I would say that it's easy, but it is very hard, and it requires a lot of work but we have the whole origination platform. As you know, we have offices in New York, Chicago, L.A. and pretty robust team and long-standing relationships with market participants. So I think that will be coming into play for us here. And it's a lot of hard work, but we are still finding good deals.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Bilal Rashid for any closing remarks.
Bilal Rashid: Thank you all for joining our call today, and we look forward to speaking with everyone again next quarter. Operator, you may now end the call. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.